Operator: At this time, we would like to welcome everyone to CSN Conference Call to release Results for the Fourth Quarter 2022. Today, we have with us the company's executive officers. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the company presentation. Ensuing this, there will be a question-and-answer section will further instructions will be given. [Operator Instructions] We have a simultaneous webcast that may be accessed through CSN's Investor Relations' website at ri.csn.com.br where the presentation is also available. The replay of this event will be available as soon as the call ends for one week. Once again, you can flip through the slides at your own convenience. Please bear in mind that some of these statements made herein are mere expectations or trends and are based on the current assumptions and opinions of the company management. Future results, performance and events may differ materially from those expressed herein as they do not constitute projections. In fact, actual results, performance or events may differ materially from those expressed or implied by forward-looking statements as a result of several factors such as overall and economic conditions in Brazil and other countries, interest rates and exchange rate levels, future rescheduling or prepayment of debt pegged in foreign currencies, protection is measures in the US, Brazil, and other countries, changes in laws and regulations and general competitive factors at a global, regional or national basis. I would now like to turn the floor over to Mr. Marcelo Cunha Ribeiro, the CFO and the IR executive officer who will present the financial and operational highlights for CSN. Mr Ribeiro, you may proceed.
Marcelo Cunha Ribeiro: A good morning to all of you and thank you for attending our results call for the fourth quarter 2022 for CSN. Before beginning the presentation, I would like to thank all of you for your attendance and the CEO and Chairman of CSN is with us as well as other executive officers that will participate in the question-and-answer session. Let's begin with the highlights for the period, the acceleration in our financial results for the fourth quarter, we had important frameworks and some impacts, especially because of the rainfall in mining, but we were able to come up with a good response and we had a speed up in volumes, prices and costs and mining and in terms of steel, we had the traditional good performance, which enabled us to increase our EBITDA by 15% of the end of the year, a growth that should increase its pace throughout 2023. Secondly, we highlight the conclusion of the acquisition process of CEEE with the acquisition of 66% of the capital of the company and also a transaction at the end of the year when we acquired an additional 32% from Eletrobras. We're now owners of 99% of the capital of CEEE, an important player in the electrical sector. It enables us to be self-sufficient and we can also sell energy at present. The third important impact, a jump in our ESG indicators, work that has been done by putting in place policies and goals, but also enhancing the disclosure of our historical practices. We have attained two important indicators. The first we have been called an industry mover, the company that most improved ESG throughout the year and secondly, Sustain Analytics has included us as the fourth best company in the segment throughout the world. Thanks to the endeavors and efforts that CSN carries out on that front. We go on to page number four and show you our evolution of our EBITDA quarter on quarter. Of course, we had volatility throughout the year. We were impacted by the strong prices of iron ore and steel in the first half of the year. We then saw a normalization in the price of these commodities impacting our profitability. At the end of the year, at operational level, we were able to obtain better margins, 27% and ended the year with BRL13.8 million highs in EBITDA, the second best year of CSN, although it represents a drop of 30% vis-à-vis 2021. With this, we had a growth of 15% in the quarter in this sequential comparison at the right in the graph, you can see that the great difference lies in the mining sector where we practically increase the results twofold in terms of prices and volumes as mentioned. Steel also operational, but with a gradual reduction of prices causing that drop in the EBITDA. We go on to Page number five, where we will speak about our cash, beginning with our investments. We accelerated our CapEx in the fourth quarter going from BRL39 million to BRL1 billion or 3X. Especially investing strongly in segments Besides steel and mining, we had some factors that were not part of our initial forecast. The consolidation of hosting and the rights of use bringing us a new level of CapEx in the segment of BRL1 billion raising our CapEx of BRL3.4 million for the years too below what we expect to do in 2023, and of course we will have a speed up in the mining sector with the evolution of the P15 sector in working capital. This quarter, we had a very strong demand in our inventories. We had been reducing inventories of raw material because of the normalization of prices abroad. As you will see in the steel results, we had production. We ended our inventory, which was of course part of our strategy. We increased production and accounts receivable because of the possible evolution of the mining cost, and all of this was fully offset with the receivable from suppliers to an increase in our working capital with an impact on our cash flow. In the next page, you can see the volatility that we in free cash flow, the operational cash flow that you can see to the left of the page ending the year with full operational results, but with a high level of inventory. That is why we have a negative cash flow. We enhanced cash generation and ended the quarter -- well, we had an EBITDA of BRL3.4 billion used in these variations of working capital are higher CapEx, higher interest rates as well, and taxes that seasonally were somewhat higher for 2023, we will stabilize this cash flow. We have a positive result in EBITDA and this will offset the higher investments. So a positive cash flow will enable us to reduce our embeddedness that we see in the following page. In page number seven, we observe that this cash flow for the fourth quarter was insufficient to allow us to reduce our indebtedness. Subsequently, it went from to BRL24 billion to BRL30 for very obvious reasons. The acquisition in the electrical sector, an increase of BRL3.3 million besides an important payment that we carried out all of this adding up to the totality of our net debt that grew 25% of BRL30 million. With this we the quarter with 2.2 times leverage pro forma for the prepayment of mining that we announced in the first days of January. And in truth, this leverage would have been two times, which is the range in which we would like to operate. For 2023, we will see a sequential improvement of EBITDA and cash flow and of course we will tend to fall within that range with minor variations through the coming quarters. On the following slide, our liquidity and our debt amortization, which is quite lengthened, liquidity remains comfortable at BRL12 billion and because of the prepayment of the BRL500 million, this would be very close to our target liquidity, a good coverage in the short term. We highlight our activity in the capital market, especially the local capital market. We took advantage of a very sound window; we debentures for more than BRL4 billion highs helping us to length out our indebtedness and making it more efficient, before we were working in a more volatile and more expensive capital market than in this quarter. Now we had debentures in each of the businesses. We had a good year in 2022. Our volumes were very close to 2021, especially in the domestic market. We had a minor drop of 3% smaller than the drop of the market that was close to 10% showing our endeavors to conquer the market. We grew in important sectors and construction and others more than leveraging what had happened in other sectors. The automotive line, the white line, and we had a quarter with prices that internationally were weakened. Therefore, we were very careful privileging volumes and not prices. We had a slightly higher drop, but better than 2021. Regarding prices, they have a drop of approximately 8% in line with the international prices. The positive issue as announced is that the international market has given way for new price increases and as we will see in questions and answers, we have the opportunity of holding new rounds. We still see very high prices and this should allow us new incursions. We had an EBITDA with a marginal drop, a drop of 13% despite good operational performance and drop in prices. On Page number 11, as you can see, we had a production of 7% below 2021. We took the most of some opportunities buying slabs in the international market, taking advantage of the drop in average prices. We also had a drop of 5% in slabs and we had a drop in the cost of the final product. This has enabled us to maintain average prices. The floor of our profitability that would be higher than our historical average BRL819, which is above the $150, which is the average cost. What we saw in 2022, we intend to improve upon with that attempt of increasing prices and of course a better quality. In mining on Page 13, a very strong quarter from the viewpoint pf results and operation. We were able to have an increase of sales of the quarter, which typically is a slower quarter because of seasonality. We produce somewhat less because of seasonality, but we were able to sell more and impact working capital because of the improvement in prices. We began the quarter with low prices with a price improvement in December. We made the most of this price improvement, sold out our inventory during the period and we had a slight increase in volume vis-a-vis 2021. Our forecast for 2023 is even better. We will buy from third parties and improvement in the market at higher prices and we're quite enthusiastic about the margins. In 2023, all of this should speed up to what we saw in the fourth quarter above 50% and higher EBITDA that we saw of BRL1.8 million for the fourth quarter. On Page 14, this is an x-ray, a comparison among quarters. We had an improvement in all of the areas in volume, in the mix of our own mix vis-a-vis that of third parties and improvement in prices great. And with this we got to obtain this growth also bolstered by the provision of what has been sold in previous quarters, leading us to BRL1.8 billion of EBITDA. Now to speak about cement on Page 16, for the first time we consolidated LafargeHolcim of Brazil, now called CSN Cement Brazil. We got to three million ton the quarter and end with the year with 7.2 million tons. Of course, if we look at 2023, these are figures that will change quite drastically as every year, but we also expect significant growth in some certain environment. At the end of the year, we implemented some actions within our CSN plant in Brazil to reconnect capacity and this led to a slight reduction in margin the reconnection of some operations and because of the cost of fuel that is higher, it led to a profitability that is a one-time effect that was somewhat lower. We have prices of coke and oil dropping in 2023. We won't have these reconnection costs. And of course we have an abundance of synergies to make the most of a control of the LafargeHolcim plant that has proven to be better than we had imagined. We have, for example, the cost of our own energy, something we had foreseen for July. We have anticipated to April. We're quite enthusiastic, with the cement business in 2023. This ends our presentation of segments. We would now like to speak about ESG. Good morning everybody. We are here again to present to you the results for the second -- for that fourth quarter of ESG. And of course this is something under constant evolution with the aim of offering you greater transparency in terms of what is done in the company. I'm just going to give you a bird's eye view in terms of governance, great strides. We concluded the impact and dependency matrix on ecosystem services. We're following the guidelines of TNFP mapping of risks and opportunities, taking for some parameters especially that relate to nature. And in April in our report, we're going to approach all of these topics. We entered the year with CSN mining, with all of its dams renewed. The Vigia Dam has completed of course the works and re-characterization and we continue to evolve in terms of our operational performance quarter on quarter. We entered the year of 2022 with a reduction of 25% in our accident frequency rate and compared to 2021, this is the best result in our historical series, a significant reduction, 19% in the number of accidents as well with employees and our third parties. Our cement plant began with the 14,000 O1 certification. We're working on sewage projects for the reduction in the consumption of water and the emission of CO2. Of course, this has been done for each segment. In steel, minus 5% versus the baseline in 2018, an improvement of CO2 emissions in cement minus 7% versus the baseline in 2020, a slight increase in the emissions of mining. So you can see that all of these trends have been carefully forecast segment per segment, and we have mapped out our initiatives through time. It's also important mentioned that we have identified all of the risks in the company and all of this will be part of the next integrated report of the company. When it comes to diversity in the social area, we have a growth of women and leadership growing year on year. We have had a 50% growth. Of course, we would like to reach 2025 with 28% of women in leadership position. In the social area, we concluded two projects in the last quarter, a partnership with the Getúlio Vargas Foundation and the conclusion of our theory of change, which will enable us a new instrument in terms of social investment has been mentioned. There has been a constant evolution in the company in terms of our main ratings, especially in sustain analytics where we had the fourth best score in the segment among 155 companies. We are the only Brazilian company with steel and mining that was indicated to these categories. We are the steel company with the greatest evolution in terms of its ESG practices. Thank you very much.
Operator: Ladies and gentlemen, we will now go on to the question-and-answer session for investors and analysts. [Operator instructions] Our first question is from Rafael Barcellos from Santander Bank. You may proceed.
Rafael Barcellos: Good morning to everybody. Thank you for taking my question. My question refers to steel. We imagine what the purchase of slabs has been quarter on quarter and what you are doing in the first quarter considering that we're already in March, if you could speak about your priorities at present in terms of your capital spending, what would be ideal for the company at present? A - Unidentified Company Representative Good morning, Rafael. This is Martinez speaking to you. In terms of cost, as mentioned by Marcello, we had a significant reduction in the cost of slabs in the fourth quarter. Our efforts are strong to continue on with this cost reduction. The first half of the year we're going to infer that this cost reduction continues. It's fundamental to preserve our EBITDA margins. In the fourth quarter, we got to 3900, but we're going work to reduce this cost even further for slabls. We carried out our strategic acquisition of slabs approximately 400,000. We have already used 3,000 tons of slabs. We have 100,000 tons that we can still utilize and we're also analysing other possible acquisitions of slabs to balance out price of the slab plans. We have additional efforts to reduce the cost of conversion and manufacturer as well in the transition between hot and cold slabs and for upstream products as well, for efforts ahead to continue to reduce our costs. Now regarding our capital spending, minimum cash was the question. We continue with that vision that because of the volatility in Brazil, it's important to increase cash. The ideal range would be BRL15 billion. This is important insurance of course in present days and we're making all possible efforts to reduce this, making our fundraising and investments ever more efficient and we're enhancing our facilities to receive that special checkout to work with lower cash levels. For the time being these are instruments only available for companies that are investment grade? We have got an investment grade and throughout 2023, we're going to accept minimum volume of BRL15 billion. I hope that has answered your question. Is anything missing?
Rafael Barcellos: Do you think it's possible to have additional cost reductions here in the first half of the year simply to complete this?
Unidentified Company Representative: Rafael, in the first quarter, the cost will become more stable. In the second quarter, we do foresee the possibility of having a greater cost reduction. I'll speak about our price pillar in the first quarter. We do have the ability to improve this but in terms of cost, we will reach stability in the first quarter with the possibility of a further reduction because of the lower cost of acquisition of raw material, which we have already acquired. This has allowed us to reduce our cost for raw materials that are in inventory. We'll have more sales in the second quarter and with the use of slabs, this will offset variations that we might have in the first quarter. Our acquisitions were quite interesting in terms of cost reduction. 
Operator: Our next question comes from Daniel Sasson from Itau BBA.
Daniel Sasson: Good afternoon to all of you. Thank you for taking my questions. My first question is to Martinez. Now in Europe, everything is slower. Last year they ended at 7.5 million of capacity in terms of steel, it's coming back slowly. The prices are recovering as a counterpart, the situation will be very positive in terms of the demand of rebar. We will four million tons to build this coming from Turkey. And when we come to Brazil and we look at the pillars that you are conversing about, coal continues at 375, iron ore 129, 130, exchange 129, 130. With these price levels in Brazil, a BQ at 4700 and Chinese BQ at 680, the premium will be slightly negative.
Unidentified Company Representative: The scenario, if we take into account, a slightly stronger demand, which I do believe will materialize in March and January and February, the sector was quite well behaved. We saw an improvement in March. We could increase between 7.5% to 10% beginning in April, which is possible cause of the market dynamics and the long scale scenario, the premiums are negative. Nowadays, if you look the Turkish rebar that was the cheapest and no longer exist, the premiums are minus 14%. So summarizing, if the demand begins to increase somewhat with growth as of March, stabilizing and if the market becomes stronger in the automotive sector, in civil construction in the white line where we observe an improvement, I think that as of April, we could have that increase of 7.5% to 10% in long still the circulation is somewhat more difficult because supply and demand is somewhat more complicated. In France, still the equation is different. There's a maintenance of some plants, especially our own [indiscernible] is not a secret. We're remodeling the blast furnaces. We also had some problems in specials steel that are being depressed and everything will have been done as of March. Perhaps the prices will drop a bit more than the market as well as the volume beginning in the fourth quarter. So I see that the scenario is very positive and if we look at the world situation, Brazil cannot lag behind. Everything is increasing and I believe Brazil will accompany the world trends and Brazil has to give itself a change. The government has to help us, help Brazil so that it can go back to growing. Now they're saying that the growth will be 1.5% to 2%. Last year Brazil had a drop of 4% and in steel. If we're able to go at 1.5% to 2%, we can recover prices and return to historical margins of over 20%. Very approximately, this is the scenario and the cost of slab produced and purchased. In Brazil the people were exploiting the world market. Yesterday, I was looking at some reports and there was slabs sold to the US and Mexico in an isolated way at 750, 780. Now the Brazilian producers in a more orderly market, we're selling at prices below 650. Our normalized slab cost with the cost initiative will be below $700 for sure and we have to calculate to see if it's worthwhile buying. We're going to look at this surgically to see if it's the right moment to buy. We're privileging our operational moments and trying to make the best of what we have in the company. We will only make use of opportunities if they're positive for us. I hope to have responded your question.
Daniel Sasson: Yes, yes, absolutely. That was very good. Thank you Martinez.
Operator: Our next question comes from Mr. Carlos de Alba, Morgan Stanley.
Carlos de Alba: Thank you very much. Just wanted to discuss a couple of things on the cash generation. The CapEx and working capital for 2023. I just want to see Marcello, if the CapEx guidance still remains intact for mining and steel and for the overall company this year. And working capital. You alluded to the fact that you want to reduce it obviously the fourth quarter wasn't exactly what the market was expecting, but if you can potentially tell us if this is something that the company believe can be achieved already in the first quarter or if the -- it is going to take a little bit longer to bring them the working capital and to what levels to something that is more comfortable. And then if I may ask on the cement profitability, EBITDA per ton came down in the quarter. I don't know if this is a result of the consolidation o of the Lafarge business or if it is just the market, being a little bit more, more difficult, more challenging right now. But if you can talk about how do you see the profitability of that business in Q1 and maybe in 2023, that would be really useful. Thank you very much.
Unidentified Company Representative: Well, thank you Carlos for the questions. We're addressing your question on the CapEx in the guidance it is BRL4.4 million with the main use in mining because of the acceleration of the P15 project. So the answer is yes, this guidance will undergo -- will not undergo revision, not in mining or in other businesses. It was simply impacted in the fourth quarter because of some issues referring to the segment or RTGs our cranes, the right of use and the acquisition of products in our cement business. But these were a one-time effect that ended at the end of the fourth quarter. What we will see in 2023 is an increase in mining, increasing this figure during the year to 4.4 as stated in the guidance. Regarding our working capital, we ended up with our stocks above BRL11 billion. We hoped for a normalization of the inventories removing BRL600 million from that line item and also in the line item of raw material costs, we still have coal and coke that are quite expensive. We have inventories of this. So we're hoping to reduce these lines by BRL2 million throughout the coming quarters. Of course, this won't have a direct impact on cash generation. We have a proportional impact on suppliers, but the cash flow line item, the variation of working capital should be well-behaved throughout 2023. We're not expecting the volatility we had in 2022. Regarding the EBITDA per ton of cement and the consolidation of the cement Brazil plants, this will tend to reduce the EBITDA percentage per ton. Yes, because we're speaking of a capacity integrated plants, what perhaps caused the instability in the fourth quarter was not that consolidation. It was what was mentioned in the presentation, the cost of oil that was higher. The higher cost were few, somewhat lower volumes because of the heavy rainfall with lower volumes and the cost of reconnection of some of our capacity in the plant in [indiscernible]. These are one-time costs that increased our fixed costs, reducing the percentage. Now going forward with the integrated company, we think we will be able to navigate above 30%. Go back to the results we had in the past.
Operator: Our next question is from [indiscernible].
Unidentified Analyst: Good morning and thank you for taking my question. My question is about the [indiscernible] to speak about synergies, which are the factors that'll be able to point to the synergies of this integration? What is the stride that you have made here and if you can give us some guidance for the year 2023 in the field of cement? Thank you.
Unidentified Company Representative: Hello Vanessa. Good afternoon. This is [indiscernible]. To speak about the synergies and CSN day in December, we presented our expectation for the capture of synergies that was, of course much greater than we had imagined originally. These synergies are concentrated in some drivers in the self-production of energy with a reduction in the cost of energy and all of our operations, a better distribution logistic, a more intelligent logistic, more competitive in the market. We also have a commercial strategy that is historical first, a pulverization of clients and this enables us to capture results on the table. We have synergies in terms of acquisitions, a larger volume of raw material in the shorter term and in the field of operations, a range of opportunities in operations, in operations alternative teams, new capacities as mentioned by Marcello in the presentation. We're already working on this and everything will come into operation in some weeks. Therefore, we have a very broad range of synergies that will fall within that drive that we showed you CSN Investor Day and we're going to put together two companies into a single company with a margin of 30%.
Unidentified Analyst: Do you believe that for 2023 we will already see this increase in margins?
Unidentified Company Representative: Oh, certainly, yes, we will. The results of the fourth quarter was perhaps a one-time effect, but we are going navigate above 30%. In the last three years, CSN has concentrated on that 30% and with the capture of synergies, we doubtless return to that level and we're working in that direction.
Operator: The y next question comes from Thiago Lofiego from Bradesco BBI.
Thiago Lofiego: Good morning, everybody. My first question to harp upon the topic of cement still, which is your outlook in terms of demand and prices throughout the year, it could be a somewhat more challenging market. And how are you going to balance out this increase in utilization with a market that is not simple to operate in and as part of cement, Marcello, what is your mindset once you're operating at interesting level with margins and synergies? What's going to happen in terms of your IPO? The second question to go back to capital allocation, which is the greenfield potential in the United States and which is the type of growth that you're expecting. If we could hear your comments, it would be very appreciated.
Unidentified Company Representative: Good morning. This is Martinez. I'm going to speak about cement and the ore expense when we began the cement business and we have to be prepared for a war. This is what our chairman has always said when we began in the cement business, we had, and this is what we're seeking now with the integration of both is a better cost. This is the best challenge we had CSN business. This cost enabled to enter the market, participate in a very competitive market with other large market players with the acquisition of LafargeHolcim besides the excellent surprises we have that Vargo plant refer to logistics pass the energy issue, which is very important. In the near future, this will be valuated. It will be worth a great deal cause of modern techniques and energy. This will be of great value to the company. In the commercial strategy, we have a regional strategy, a strong regional strategy. We have an interesting share in the southeast in the retail market. We're going to continue to sell more for less, implement the portfolio strategy from Lafarge itself. We have recovered and grown in some markets here in the southeast despite the high share. In the Northeast, we also had room to occupy the retail market, a fragmented market for construction material, for example. They buy small amounts in a market that was poorly supplied. There's room to grow there and in the market where Lafarge has the technical cement, which is the great strength, both we're entering very strongly. We have already our market share. We have a strong market here in the region. We have selected, of course the competition is harsher. Last year we were able to recover 18% of the price throughout the year in cement. The market stands at 2.7 with specificity of some regions and there are some regions where we have been able to work very well. Although the competition was harsher in January and February the market improved began on March 01 because of the rainfalls and we see very positive signs in residential construction. In commercial construction and carry-over of the works that were launched in the past and we could have a somewhat better market commencing now until the end of the year. We can only grow and occupy new positions. Now the price position is fundamental. Regarding prices, emphasis now is on cost. The Petco has reached very high levels and we're have to work better with the crop. Petco will not have the same strength they've had in last years. The increases in price were very strong. We're now more concerned about cost and market occupation. This is our strategy. Now regarding the IPO and the question on projects in the United States, our guidance is to look for growth that is profitable and sustainable always keeping a very prudent leverage. And I think this has been sufficiently emphasized. Benjamin was very clear about our priorities on csn investor day. Now working with that IPO would be in accordance with reducing our leverage. Now inhouse we're doing very well. We not only have growth, we have synergy, we have profitability gains. This is a story that quite well in the market now, but we know that the market is completely closed at this point in time. We're going to be ready and watchful regarding the United States, we would like to continue to make moves in it. This is a strategy cause of the geographic location, but we look upon leverage. We have beening the launch of these projects ensuring that our capital structure will not go beyond the levels that are both sound and sustainable. We're going to work on that balance in the coming quarters and once we're within the range, that is once we have sufficient confidence in our capital, we're going to accelerate our organic growth in the United States. Well, thank you. Thank you very much.
Operator: Our next question comes from [indiscernible] from Bank of Afternoon.
Unidentified Analyst: Good afternoon. Thank you for taking my question. A question to Martinez, which is a difficulty of increasing prices here compared to the prices in Europe, United States and China.
Unidentified Company Representative: Now, will the export levels of CSN be higher than they were last year? Importing still from Turkey for example and another question to Marcello regarding capital allocation, which are your priorities in the coming quarters? Is there room for growth? Is your cash position acceptable? There is a general assembly coming, so what will happen with all this?
Unidentified Company Representative: Well, clearly in the first quarter, we should have a carrier cause we did increase the prices this year between 3% to 5% regarding the fourth quarter, which is already positive. Now in the case of the price increase for frac steel, what I was saying is that the demand in March has already improved. We have positive signs and this might improve the environment to increase price. Now the premium is negative. In my openion, with a negative premium, it doesn't make sense; regardless of the demand, the level of exports is still very high, 18%. Now, regarding exports from CSN, to give you an idea, last year we exported to the USA, our whole quota 250,000 tons of galvanized steel. We're thinking of sending 400,000 in 2023. This is part of the process and the BQ because of the sunset review, I could send, it is more of an advantage of $1,200 instead of sending it here. And the laminated steel, but there could be greater exports to the USA. In terms of other long steel markets, I would have more rebar to sell in the domestic market. We're completely sold out in the Brazilian market, which is quite fragmented. Export would not make sense. We're going focus on the domestic market. In terms of capital allocation, we're always in a situation of balance and much more as Benjamin mentioned on CSNA, with our leverage at 2 or up to 2.2 times, we're going to keep our eye on generating cash. The situation has given and the general ordinary assembly the dividends that had already been disclosed in November full calculation is the given and view will come about because of the capital allocation, we carried out last year in September and December almost BRL8 billion invested in LafargeHolcim and the electrical companies, this will have an impact on the consolidated results in 2023. We hope to through leveraging dividends and approach, of course everything in a sustainable way.
Thiago Lofiego: Thank you. Thank you very much. That was very clear.
Operator: Our next question comes from [indiscernible] from BTG Pactual.
Unidentified Analyst: Good day or good afternoon to all you. Quick question and a follow up. We have heard from your client and distributors recently that has CSN has delayed some deliveries because of some purported problems, operational problems. If you could clarify this, if there truly was a factor reducing your delivery rate, impacting your deliveries, if this happened, if it has been resolved, it could have an impact in the first quarter in the domestic market follow up per Martinez, Martinez mentioned that expect potentially stable cost in the first half of the year. This is for the slab that you produced of what would be the total more cogs but can including the slab of third parties that you have been purchasing. Thank you.
Unidentified Company Representative: Well, infer refers to the cogs. That's why we are referring to the cost of the slabs is more stable at BRL3.900 per ton presented in the first quarter, regarding the problem, there truth, there's more noise in than there, we had one time problems that has an impact that has been resolved. We did have an impact on the quarter. In the second quarter there will have been fully resolved. At the beginning of March, the problem has practically been resolved. We continue forward. It had a greater impact than special steel linked to other markets and not that distribution. It indirectly impacts distribution that is channel not a market and there are small clients selling to assembly, the white line and buildings that did suffer an impact, but impact was minor. We have redressed the problem and they will be fully solved.
Unidentified Company Representative: Thank you. Thank you very much Martinez and in formal guidance, of cost per cogs, cost we will extend during the first half of the year despite this minor impact. Yes, all of this has been taken into account.
Unidentified Analyst: Wonderful. Thank you very much.
Operator: Our next question comes from the room in English. [indiscernible] from Santander Bank.
Unidentified Analyst: Hi. Good afternoon and, and thank you for the call. On a different topic. Just looking at at balance sheet metrics and considering I think the fact that here to date the, you know, the local markets in Brazil have become more credit constrainted given the amount of amortizations that are, you know, that are scheduled, I guess it's around 8 billion or so between now and the end of next year. Have you changed your, your thought process in thinking ahead to tackling that? And can you talk a little bit about how you see market access? I believe it's three quarters bank, one quarter capital markets. But if you'll give a bit more detail given how the market has changed in Brazil and given it, you know, to the extent there's market access is also not relatively as cheap versus you know, the international market as it was say last year. So any kinda details there would be helpful and if you're kind of contemplating accessing the dollar market at some point to address this if we, if you've gotten to that stage yet. Thank you.
Unidentified Company Representative: Thank you for the question. Now regarding market access, it's completely open. We have access to the international capital markets. The good ones are back with a limitation in China. We have a good market here and there's a debenture venture market as well that will be back. Now all of them at a slightly higher level. We're being quite selective. We're not concerned with the amortization. They have all been fully addressed. We do have special fundraising, specific fundraising for use in our cash for investments in lines for example. Japanese lines that are our partners in mining. And they're going to enable us to complete the P15 project more than a million dollars. We have spoken with multilateral agencies to fund our projects in cement because they have that green characteristic, hundreds of millions of dollars and for the very long term we have a more efficient cost. Now, regarding the capital markets, they're completely open. We're being very selective because at this point in time the costs are higher.
Operator: As we have no further questions, we will return the floor to Mr. Marcelo Ribeiro, the CFO and IR Executive Director for his closing remarks. You may proceed Mr. Ribeiro. End of Q&A
Marcelo Ribeiro: Well thank you all for the questions. I will give the floor to our CEO and Chairman, Benjamin Steinbruch for his closing remarks.
Benjamin Steinbruch: I would like to thank all for your attendance at our fourth quarter 2022 conference call for CSN Mining and CSN. I would like to reiterate the commitments we made formerly regarding leveraging. We're at two times and if we consider the prepayment of iron ore and that quest to be at one 1.2 times. We have had expressive growth in the last half of the year in the last semester and we count upon significant synergies that will be proven in our results because of the acquisitions. And along with this, we're also hoping for an opportunity of an eventual capital opening in cement and also in energy and/or perhaps a participation as a strategic partner. If there's any other market operation in terms of capital for our new assets, we will have the search that everything will go back to normalcy in terms of our leverage. Well this has been reiterated in the past. It's a commitment in terms of its stand at one time or two times at the very most. Now in terms of ESG and technology and the growth of our results, we have had significant evolution in ESG. In fact, we're working strongly on that. We are fully committed to the use of technology as well. We use it broadly. We're working with the green steel that causes less aggression in the production of iron ore, steel and cement. We had a year of 2022 that of course could have been better. We did not make the most of some opportunities. We faced some operational difficulties that were quickly overcome and in the fourth quarter we were able to show the improvements and enhancements. We believe that beginning in the first quarter, we will have stronger results because of the synergies that we are capturing in cement and the integration of energy into our units. And along with mining, we will have better prices than those that have been in cement. In similar prices are still lower in the market and we have an excellent outlook of results for the second half of the year. Now the price of raw materials is given the market prices already given as well. So we're quite convinced that we harvest the results of all of the efforts carried out formerly. We overcome the difficulties that exist in the market, obtain global profitability as well as local profitability and we're quite optimistic regarding the year 2023. As all of the necessary measures have been adopted and our idea at present is to make the most of what has already been done and to work at full steam with margins that have always been our mark that have aside in the market. We hope to be able to show these results very soon, beginning in the second quarter of 2023. We reiterate our commitment with deleveraging our full production in that quest for greater productivity, a commitment with the use of technology and we're convinced that we're on the right path. As a large company, we're moving towards growth in a very complicated market, everything tends to be somewhat more difficult because of the peculiarities of our day today. We have gotten it right in terms of acquisitions and well, if we make minor mistakes in 2023, I'm convinced we will have excellent results. Once again, I would like to thank all of you for your attendance at our conference call and we'll very soon be disclosing your results of the first quarter. Thank you once again to all of you. Thank you for attending.
Operator: The conference call for CSN ends here. You can now disconnect your lines and thank you very much.